Operator: My name is Erica and I will be your conference facilitator this morning. At this time, I would like to welcome everyone to Danaher Corporation’s Third Quarter 2016 Earning Results Conference Call. [Operator Instructions] I will now turn the call over to Mr. Gugino, Vice President of Investor Relations. Mr. Gugino, you may begin your conference.
Matt Gugino: Thanks, Erica. Good morning, everyone and thanks for joining us on the call. With us today are Tom Joyce, our President and Chief Executive Officer and Dan Comas, our Executive Vice President and Chief Financial Officer. I would like to point out that our earnings release, the slide presentation supplementing today’s call, our third quarter Form 10-Q and the reconciliations and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available on the Investors’ section of our website, www.danaher.com, under the heading Financial Information. The audio portion of this call will be archived on the Investors section of our website later today, under the heading Events & Presentations and will remain archived until our next quarterly call. A replay of this call will also be available until October 27, 2016. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. The supplemental materials describe additional factors that impacted year-over-year performance. Unless otherwise noted, all references in these remarks and supplemental materials to company specific financial metrics relate to the continuing operations of the company in the third quarter of 2016 and all references to period-to-period increases or decreases in financial metrics are year-over-year. Today, we will be discussing two recently announced acquisitions of Cepheid and Phenomenex. Both acquisitions are subject to customary closing conditions, including receipt of applicable regulatory approvals and in the case of Cepheid, approval of the Cepheid’s shareholders. We may also describe certain products and devices which have applications submitted and pending for certain regulatory approvals. During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings and actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made and we do not assume any obligation to update any forward-looking statement. With that, I would like to turn the call over to Tom.
Tom Joyce: Thank you, Matt. Good morning, everyone. We are pleased with our third quarter results as our team continued to execute well despite the macroeconomic environment. We delivered solid core revenue growth with very strong adjusted earnings per share growth and free cash flow performance. The diversity and strength of our businesses have served us well in this modest growth environment. The recent separation of Fortive was an important step towards optimizing our portfolio and we continue to strategically position Danaher for strong long-term growth through M&A. Since July, we have announced over $4.8 billion of acquisitions that will strengthen our Life Sciences and Diagnostics segments. In September, we announced the acquisition of Cepheid, a global leader in molecular diagnostics and we recently announced the acquisition of Phenomenex, an outstanding chromatography consumables business that will be highly complementary to our Life Sciences portfolio. Combined with the execution benefits of DBS, we believe these exciting strategic additions will contribute to Danaher’s growth trajectory and superior returns. We look forward to welcoming the Cepheid and Phenomenex teams to Danaher. With that as a backdrop, let’s turn to the details of the third quarter. This morning, we reported adjusted diluted net earnings per share from continuing operations of $0.87, an increase of more than 20% over last year. Sales grew 17.5% to $4.1 billion, with core revenue increasing 3%. Core growth was consistent across the portfolio as each of our four reporting segments achieved at least 3% core revenue growth in the quarter. Currency translation had minimal impact while acquisitions increased revenues by 14.5%. Geographically, the high growth markets led the way driven by high single-digit growth in China and high-teens growth in India. Developed market core revenues were up low single-digits. Modest growth in the U.S. and Western Europe was partially offset by declines in Japan. Gross margin for the third quarter was 55.3%, an increase of 140 basis points from last year. This increase in gross profit enabled us to increase our sales and marketing and R&D spend meaningfully in the quarter. Core operating margins were up 155 basis points in the quarter and 90 basis points year-to-date. This strong margin expansion helped to drive double-digit adjusted net earnings growth in the third quarter. During the quarter, we generated approximately $700 million of free cash flow from continuing operations, up 35% and our free cash flow to net income conversion ratio was over 150%. Now, let’s take a more detailed look at the results across the portfolio. In Life Sciences, core revenues were up 3% and reported revenues grew over 60% largely due to the Pall acquisition. Core operating margins increased 180 basis points and the reported operating profit margin increased to 15.4%. At Beckman Life Sciences, low single-digit core growth in the quarter was driven by momentum in China, while developed markets were essentially flat. The backdrop of government investment in healthcare in China, coupled with Beckman’s strong execution, contributed double-digit gains in that region. Beckman’s particle counting characterization business had another good quarter, with double-digit growth driven by global biopharmaceutical demand. The team also launched a new product that supports drug discovery and development. The Vi-CELL MetaFLEX is a biochemistry analyzer that resulted from collaboration with one of our diagnostic businesses, Radiometer. Beckman incorporated the technology behind Radiometer’s blood gas analyzer to create the Vi-CELL MetaFLEX, which analyzes cell cultures, a crucial component in biotherapy production. This crosspollination between Beckman and Radiometer is a powerful example of the unique opportunities we have at Danaher to bring greater value to customers by collaborating across the portfolio. Leica Microsystems core revenue declined in the quarter. Growth was impacted by weakness in the academic and industrial end markets, particularly in North America and Western Europe. This was partially offset by double-digit gains in the high growth markets as China continued to be a bright spot, particularly for our Confocal business. SCIEX posted another quarter of mid single-digit core revenue growth led by global strength in pharmaceuticals and food as well as environmental testing. Geographically, we saw declines in Japan and in Europe, where academic weakness impacted results. In the high growth markets, China and India each maintained strong double-digit growth. Our service offering continues to be a differentiator at SCIEX as the team drove further improvements in contract renewals and attachment rates in the quarter. As I mentioned at the start of the call, we recently announced our acquisition of Phenomenex, a leading player in chromatography consumables that supports a variety of analytical testing applications in the health, research and environmental segments. Phenomenex is 100% consumables, a high margin business in an attractive mid single-digit growth industry that is adjacent to where SCIEX participates. We expect to achieve a double-digit return on our investment in less than 5 years and believe that Phenomenex will help us to continue creating long-term value that’s part of our Life Sciences portfolio. Pall delivered another quarter of good growth and execution. Continued strength in biopharmaceutical end markets and demand for single-use technologies underpinned strong growth at Pall Life Sciences. Pall’s market leading solutions are the forefront of the biopharma evolution, and 9 of the 12 new biologic drugs cleared by the FDA last year specified Pall products in their processes. This is a tremendous testament to the quality and reliability that Pall provides to its customers everyday. Pall Industrial revenue was down in the quarter with solid gains in aerospace and microelectronics offset by declines in energy and machinery as heavy industrial end markets remained challenging. August marked the one year anniversary of our acquisition of Pall Corporation and the team’s exceptional implementation of DBS has been a critical driver of what we have been able to accomplish thus far. Since the beginning of the year, Pall has achieved more than 150 basis points of gross margin expansion and improved operating margins by over 350 basis points. At the same time, we have been able to put some of that benefit back into sales and marketing and R&D. This reinvestment, combined with the team’s thoughtful use of DBS growth tools, like accelerated product development and [indiscernible] has resulted in a number of key new products launching ahead of schedule this year. By delivering these impactful new solutions to the market sooner, we can deliver greater value to our customers and further enhance Pall’s growth trajectory. Moving now to Diagnostics, both reported and core revenues increased 3%. The team’s solid execution generated 250 basis points of core operating margin expansion and reported operating margins increased to 16%. Sustained strength in China and India was complemented by modest growth in the developed markets. Core revenue at Beckman Coulter Diagnostics was up low single-digits, with growth in emerging markets partially offset by softer demand in North America and Europe. Recent installed base growth in China contributed to strong immunoassay performance in the quarter, with the business achieving double-digit recurring revenue in the region. One of our five core values at Danaher is customers talk, we listen, and Beckman Diagnostics recognizes the importance of helping customers drive performance across multiple labs with different needs and different test volumes. One of the ways we differentiate our offering is to partner with customers and help them integrate Danaher Business System tools and processes into their labs and workflows. The results can be tremendously impactful, better speed to results, operational efficiency and ultimately improved clinician workflows. The effectiveness of one such collaboration was recently highlighted by a customer that operates one of the largest regional lab networks in the Midwestern United States. Within 6 months, Beckman helped them implement over 180 analyzers and 4 automation lines at 30 different hospitals and lab locations without any patient disruption. This customer was recently awarded a prestigious Advance Laboratory of the Year award for 2016 and has mentioned their partnership with Beckman and the adoption of DBS tools as a key factor in their labs’ transformational success. Radiometer achieved mid single-digit core revenue growth led by continued double-digit growth in both China and India and solid performance in the developed markets. We saw robust demand for consumables across our portfolio of acute care diagnostic instruments. At Leica Biosystems, core revenues grew mid single-digits in the quarter led by high single-digit growth in North America and expanding installed base and strong consumable sales contributed to double-digit growth in our advanced staining business. Back in September, we announced our acquisition of Cepheid, a leading molecular diagnostics innovator in the fastest growing segment of diagnostics. Cepheid has the largest global installed base of molecular diagnostics instruments, combined with the broadest test menu available. We expect this highly complementary addition to our diagnostics portfolio to accelerate our growth strategy and further differentiate Danaher’s diagnostics offering. We also foresee tremendous opportunities with the application of DBS at Cepheid, which we believe will help drive better top and bottom line performance. Turning now to our Dental segment, reported revenues increased 3.5% and reported operating margins increased slightly to 15%, with 20 basis points of core margin expansion. Core revenues were up 3% driven by our equipment, implant and orthodontic product lines, while we saw softer demand for consumables in the quarter. Positive gains in North America were offset by weakness in Western Europe. Strength in high growth markets was supported by another quarter of double-digit growth in China across all of our major dental product lines. Since 2010, we have grown our Dental revenues in China from $15 million to over $150 million today and we are now positioned as one of the leading players in the region. We have evolved our business model as well in China to position ourselves as more of a localized player by expanding our R&D teams, increasing local commercial coverage and establishing manufacturing capabilities in the region. This approach, combined with our comprehensive product suite, enables us to provide a full service China-centric offering that enhances our customers’ experiences and positions us well for continued growth in this market. Let’s turn to Nobel Biocare. Nobel Biocare’s core revenue grew at a low single-digit rate with demand for implant systems and regeneratives driven by recently launched new products that have quickly gained traction with customers. Similar to what we saw across our other Dental businesses in the quarter, sales in Western Europe softened at Nobel while China continued to do well. The benefit of the team’s operational and cost improvements using DBS continues to help fuel Nobel’s new product and innovation engine. Turning to our Environmental and Applied Solutions segment, core revenues grew 3.5% with reported revenues up 4.5%. Core operating margin expanded 60 basis points and reported operating margin was down slightly at 24.3%. In Product Identification, core revenues increased at a mid single-digit rate and we saw strong demand for marking and coding equipment and related consumables across most major geographies. Sales growth of our packaging and color solutions offerings improved sequentially and was led primarily by increased demand in the U.S. and Latin America. Videojet showed solid growth performance delivering mid single-digit core revenue growth in the quarter. Strength in developed markets and Latin America was modestly offset by declines in China primarily due to industrial end market weakness. Videojet continued to grow the number of connected printers in the market expanding our remote solutions offering for customers and driving high single-digit service revenue growth. Core revenue grew low single-digits at Esko led by increased demand at MediaBeacon, which we acquired in 2015. As a reminder, MediaBeacon provides digital asset management software that brand owners and packaging managers use to ensure accuracy and compliance. With the help of DBS tools like funnel management and transformative marketing, MediaBeacon has generated greater market awareness and demand for our integrated solutions, which support customers across their full brand and packaging workflows. At X-Rite, core revenue grew low single-digits with strong performance in North America and China partially offset by the rest of Asia. Lastly, turning to Water Quality, core revenue growth for the platform increased at a low single-digit rate. Hach’s core revenue declined slightly in the quarter as industrial end market weakness contributed to softer demand in North America and China. We saw similarly lackluster activity in Eastern Europe as constrained government funding and political instability affected municipal projects. We anticipate better core growth at Hach in the fourth quarter. ChemTreat core revenue grew at a mid single-digit rate as the team delivered solid commercial execution and expanded their customer base in the U.S. Strength in North America and the food and beverage end markets was partially offset by lower demand in Latin America, particularly in the more commodity-oriented markets. At Trojan, core revenue increased double-digits driven by consistent municipal demand across developed and emerging markets. Our increased municipal systems installed base contributed to strong replacement growth and bidding activity was up low single-digits globally. A few key municipal project wins materialized in Asia as ultraviolet water treatment solutions have gained interest in the region. So to wrap up, we are pleased with our performance in the current macroeconomic environment. We believe that the steps we have taken to reshape our portfolio position, it positions us well for stronger growth and value creation. The diversity and strength of our businesses, combined with our team’s focused execution using the Danaher Business System, is what sustains our competitive advantage. We believe that this combination will continue to serve both our customers and our shareholders well. We are initiating fourth quarter guidance for adjusted diluted net EPS from continuing operations of $1.01 to $1.05, which assumes fourth quarter core revenue growth comparable to the third quarter of 2016. For the full year 2016, we are raising our adjusted diluted net EPS from continuing operations guidance to $3.57 to $3.61, which at the midpoint would represent an increase of approximately 20% from 2015.
Matt Gugino: Thanks, Tom. That concludes our formal comments. Erica, we are now ready for questions.
Operator: Thank you. [Operator Instructions] We will go first to the line of Scott Davis with Barclays. Please go ahead.
Scott Davis: Hi, good morning. Good morning, guys.
Tom Joyce: Good morning, Scott.
Scott Davis: You see the pattern that since you hired Gugino, you start putting up these big numbers?
Tom Joyce: He has got a big team supporting him, Scott. We love him, but big team, big team. Broad-based.
Scott Davis: Well, anyways, I am intrigued by, it’s your one year anniversary at Pall and I am intrigued on how does that – have your results matched up with the deal model or kind of specifically, what type of return on capital are you sitting on kind of as you look point in time right now on that deal?
Tom Joyce: Sure. Scott, we are very, very pleased with the performance of the team, both the Danaher team that has joined the team at Pall as well as the legacy Pall associates. The combination of those two teams has gotten the business off to a tremendous start in the first year. DBS has played a huge role in the progress that we have made there. As you might recall, that team had sort of begun the journey before we arrived on the scene, but the combination of the Danaher team that’s gone in and the Pall team have really accelerated the pace of progress. There have been over 350 kaizens that have been completed both on operational side as well as on the commercial side. We have seen the tremendous lift in core operating margins in that business. And as I mentioned in my remarks, we are now seeing investment in some of the sales and marketing and the new product areas start to make a real difference in terms of getting new products, not only launched, but commercialized on time and effectively. So, we are off to a good start. You know we took the improvements from a cost standpoint up from $60 million in the first year to $100 million. So, we are a little bit ahead of schedule in that respect. And I think, obviously, that lifts the returns here in the near term. Relative to where we will end up on a 4-year, 5-year basis and beyond, I think again we are off to a very good start. I think we have a lot of opportunity to lift those returns, but it’s still early days and there is a lot of hard work to be done in the months and quarters and years ahead, but a great start.
Scott Davis: And when – and just taking on Pall, when Pall Industrial comes back and I would love to hear your view on when you think you move into positive territory there, but when Pall Industrial comes back, would you expect outsized operating leverage on a cost out or how would you think about it, I guess, if you are on our shoes?
Tom Joyce: Yes. Well, first of all, I think we have seen – while not the beginnings of growth on the industrial side, I think we haven’t seen – we have not seen another leg down. In other words, we have seen some stability. The industrial side was still down mid single-digits in the quarter, while the Life Science side was up mid single-digits. And so as those businesses begin to improve both from the standpoint of our execution and DBS is playing a role there from a new product execution standpoint and a commercialization perspective. When those improvements kick in and we get some lift from the macro, I think the big benefit you are going to see is in terms of the core growth of that business and the read through on an operating margin basis from that core growth. I don’t know that it necessarily changes a trajectory from a cost-out perspective. We are working on the cost structures, both on the life science side and on the industrial side as well as across the horizontal components of G&A. So, I think the real lift comes when we start to see that core growth turn positive and we start to see the read through from that growth.
Scott Davis: Makes sense. Thanks, guys.
Tom Joyce: Thank you, Scott.
Operator: And we will take our next question from Steve Winoker from Bernstein. Please go ahead.
Steve Winoker: Thanks and good morning.
Tom Joyce: Good morning, Steve.
Steve Winoker: To echo Scott, I wouldn’t – team is important, but don’t forget Matt in all this. So, listen I want to just start with the actual fourth quarter core growth that you just talked about at about the same as third quarter. Just looking for where you might see signs of acceleration, how you think about that trending into next year? I know if I look at 2015, the third quarter was up year-on-year 3%, the fourth quarter was up only 1.5%. So just wondering, is this conservative in terms of how you are seeing, but to give us some sense of the fourth quarter if you could?
Tom Joyce: Yes, I wouldn’t describe it as conservative, Steve. I do think though there is a number of considerations that go into how we look at the fourth quarter. I think it starts with how pleased we are with the performance to this point in the third quarter, with all four segments driving at least 3% core growth. And I think now with a portfolio where greater than 60% of the revenues are in the aftermarket and where there is some stability in these markets, but not necessarily anything positive to write home about macro-economically, I think there is cause for some degree of caution in the outlook. You are reading same macroeconomic news that everybody else is and certainly that we are. There is a number of sources of uncertainty in the market today whether that’s the election uncertainty in the U.S., the Brexit uncertainty throughout Europe, the questions around turns in some of the high growth markets or previously known as high growth markets as I sometimes say around places like Latin America, the Middle East, Russia and particularly those markets with a good deal of commodity exposure and certainly those with a high degree of industrial exposure. So, it’s hard not to be appropriately concerned with some of that sources of uncertainty. But that being said we think we have got an incredibly resilient portfolio right now again underpinned by that level of aftermarket position and a portfolio we think that will continue to perform well despite those uncertainties.
Steve Winoker: And as you think about extending that through next year, what would be the biggest things that would drive you from that 3% level to say something higher, even another 50 basis points? What are the few things we should be looking for?
Tom Joyce: Well, first of all, we have still got plenty of work to do left here in 2016 before we get into 2017. And we will be going through a process here in the fourth quarter around budgets and be in a much better position to give you some specifics when we are together in December. But if you really stand back and you look at us today, I just mentioned the strength of the portfolio and the repositioning and the level of aftermarket that gives us a strong foundation, but I think we are encouraged about the continued improvement and performance at Pall with the addition of Cepheid and Phenomenex coming into the Life Sciences and Diagnostics portfolio and continuing to help us from a growth rate standpoint as well as from an operating margin lift and then as we mentioned before, we think there is plenty of opportunity for continued improvement in growth in our diagnostics business, in our life science, in number of our life science business as well as in dental. So clearly we could use a little bit of macroeconomic headwind but I think there is – excuse me tailwind but I think we have plenty of opportunities to play offense and make our own way in a good deal of the portfolio.
Dan Comas: And Steve, just to add a few things, one, on a year-to-date basis pause up mid single-digit that’s not been in the core number, as Tom alluded to that’s with no benefit from the industrial side of pause. So even if industrial stabilizes a little bit pause should be a net contributor added to our core growth next year. Our industrial instrumentation business ad hoc has been weak. Our experience that tends to not last very long, I think that would be, we would expect sort of better numbers ad hoc here in the fourth quarter going into next year, so even those two items even before Sepi [ph] had come in, again Sepi [ph] won’t impact our reported core number but will help our pro forma core number in 2017 as well.
Steve Winoker: Okay, that’s helpful. I will pass it on. Thanks.
Operator: And we will go next to the side of Jeffrey Sprague with Vertical Research. Please go ahead.
Jeffrey Sprague: Thank you. Good morning, everyone.
Tom Joyce: Good morning, Jeff.
Jeffrey Sprague: Good morning. Could we build a little bit more on your discussion about the outfit [ph] and muni activity, it feels like that has been building for a couple of quarters now and I just wonder if you could give us little bit more color on geographically what’s going on and kind of what the pipeline of business looks here for the next call it 6 to 12 months?
Tom Joyce: And Jeff, specifically on in the muni world?
Jeffrey Sprague: Yes, muni world.
Tom Joyce: Sure, sure. Well I think the brightest spot that we’ve seen in the municipal world around water. Our municipal water business has been a Trojan where we have seen good performance this year, where we have seen double digit growth. In the last quarter, we’ve seen increasing win rates and a reasonable lift in bidding activity. But I wouldn’t say that that bidding activity necessarily suggests that that double digit growth rate is a sustainable one. This is more of a probably a mid single digit type of market. But we have been very encouraged by the performance at Trojan, their competitiveness I think has read through in terms of their win rates and so we are in a reasonable market right now. I think we are winning share. So I think that’s encouraging from an equipment and an infrastructure perspective and we are seeing that globally. I think there is a different side of the story though which is on the municipal business in North America the day-to-day consumables business is not showing the kind of strength that I just represented at Trojan. We are seeing low single digit growth in that market right now still a very good market and that continues to be gaining share there but not nearly at the rate that we are seeing some of the infrastructure build out in certain markets.
Jeffrey Sprague: Right. And then just on Phenomenex, I don’t know a lot about the company obviously but interesting that it’s a 100% consumables and I always think about the strength of your consumable business being tied to the inherent strength in your platform and equipment businesses, you know are there other assets like this that you know are kind of tuck-ins. Are these 100% consumable companies under strategic and competitive threat as you know folks like yourself build equipment business and if there is any perspective on how to think about just kind of the dynamics of that company and how you know that the landscape is there?
Tom Joyce: Well, Phenomenex is a great franchise and it is a – virtually a 100% consumables business with great gross margins, gross margins in the 70% neighborhood and mid-20s operating margins but still with opportunities for improvement be it DBS and we are thrilled to be able to acquire this asset. We’ve admired that business for a long time. We were able to acquire it at an attractive valuation and I think for those you’ve asked us about return thresholds in the past, this is clearly a business that we believe we will achieve double digit return on invested capital in less than 5 years and so and that obviously for us is very typical for a large bolt-on or a midsize adjacency deal and really opens up a number of other possibilities. Jeff, this is a business to your point about install base versus consumables where Phenomenex has become the leader they are largely because they actually are equipment agnostic and they focus on specific applications and workflows that address unique customer problems and therefore create unique customer value. We’ve had a partnership with Phenomenex at SCIEX for a number of years and it has been a very successful one but as some of you may recall we are also consumable agnostic in the sense of chromatography columns at SCIEX and so what this allows us to do essentially is bring a greater variety, a broader set of solutions to our customers without necessarily having to have those consumables be captive by that install base. Obviously that can be very attractive strategically when you have it but in the particular case of the life science world being able to customize solutions or these unique applications customer challenge is a real competitive advantage.
Jeffrey Sprague: And Tom that doesn’t create a channel conflict for all the other folks they were agnostic with and there are some bleed away on their other business as a result of it?
Tom Joyce: It really doesn’t, Jeff. Again, we have excellent relationships with other partners in the consumables world in life sciences. We had sourced from multiple, I shouldn’t even say sourced, we had – we customized solutions for customers across a number of different consumable suppliers for a long period of time and we expect to maintain those relationships then continue to be focused on what are the specific needs of the customer, the customers today and how do we serve them best.
Jeffrey Sprague: Great, thank you.
Tom Joyce: Thank you, Jeff.
Operator: And we will go next to the side of Tycho Peterson from JPMorgan. Please go ahead.
Tycho Peterson: Okay, thanks. Tom, wondering if you can comment on the academic market, you know the NIH data was pretty negative for September I think budget is down about 13%. And I know you called out some softness for Leica Microsystems. So, can you maybe just talk a little bit about what you are seeing on the academic market specifically?
Tom Joyce: Sure. Good morning, Tycho. You know we certainly participate in the academic market in our life science businesses but it’s – we don’t have enormous direct exposure to NIH. If you really looked at the direct exposure across a number of our businesses, we are probably in the $150 million or less with direct exposure to NIH funding. Now there is more than that in terms of indirect funding but I would say that funding issue that you mentioned clearly has had an impact on a broad basis when you talk about a variety of things that are indirectly funded or go through a number of different stages before they ultimately get to a supplier like us. We have seen weakness in that market. We have not seen any particular cause for optimism in the academic market particularly in the U.S. Europe has hung in there in pockets. Japan is weak and certainly continues to be that way. So it’s not an area of strength right now and clearly the NIH funding issues have not been net particularly helpful.
Dan Comas: And Tycho, I would add that we probably saw a little bit more of a bifurcation life science in the quarter meaning that biopharma remain very strong, traditional farm, food and environmental remain solid consistent what we saw in the first half but we did see both academic and sort of industrial markets particularly at Leica weaken in the third quarter.
Tycho Peterson: That’s helpful. And then on Beckman if I kind of go back to your comments last quarter, I think you talked about growing at a market rate, if you look at the results from some of the peers, they are still going little bit faster including in the high single digit range for one of them. Can you maybe just talk a little bit about you know your view of whether you can get Beckman back to maybe a mid single digit growth trajectory?
Tom Joyce: We absolutely believe that we can do that, Tycho. We have made terrific progress thus far. We have seen improvement certainly in our clinical chemistry and our immunoassay business. Our urinalysis business continues to perform very, very well. That business is up double-digits in the third quarter. And I think with the addition of Cepheid in a broader position in molecular diagnostics, particularly with the potential growth that’s available in – at the point of care and potentially ultimately in the physician office lab, we do believe that both the core legacy business of Beckman will improve its growth trajectory over time. With the addition of those higher growth segments that we have acquired will be accretive to that growth profile.
Tycho Peterson: Okay. And then just one last quick one, can you quantify the biopharma growth from Pall that you saw in the quarter?
Tom Joyce: The life Science businesses overall was up mid single-digits on the quarter and the single use business continues to grow straight at a double-digit rate. And so we continue to see good and consistent performance on the biopharma side.
Tycho Peterson: Right. Thank you.
Tom Joyce: Thank you, Tycho.
Operator: And we will go next to the line of Ross Muken from Evercore ISI.
Ross Muken: Good morning gentlemen. So on Dental, it’s sort of interesting, I mean the macro has been alright, I would guess in the U.S., but it feels like on North American consumables, we are seeing a little bit of choppiness, curious that sort of your thoughts for that. And then conversely, it seems like overall the segment is doing quite well, but its equipment, which I guess doesn’t sort of correspond with the macro question. And then on the implant side, where it seems like you are doing quite well with the Nobel acquisition, so help us kind of make sense of what you are seeing in the segment and how much is market related and how much is better execution on your end and some of the segments that are outperforming?
Tom Joyce: Sure. Thanks Ross. Good morning. We are pleased with how the Dental business, the segment performed in the quarter, up 3%. And there was clearly some better execution on our side in a number of different areas and you have heard us speak in the past about some of the changes that we have made both organizationally and operationally. We have realigned our investments into some key areas from a new product perspective and we are seeing the benefits there. Relative to the specific portions of the business that you mentioned, we are seeing strength in our equipment business, up mid single-digits and yes, the consumable business, up more like low single-digits. And really, I think that have to do with a couple of different factors. We are executing well in the equipment side. We have new product initiatives that are making a difference there. And overall, I think we are well positioned from a portfolio perspective. You have heard the narrative from a number of different folks in the market around some softness during the course of July and August. I think we as the quarter came to a close in September we started to certainly see some of that play through. And I think absolutely varies by geography as well. I mentioned double-digit growth in places like China and India, but the U.S. much lower and certainly we are seeing some softness in Europe as well as Latin America and the Middle East. So definitely it’s a tale of two cities. U.S. also about the equipment, the implant side, Nobel continues to perform very well. They have got a number of new products in the market right now, which are helping in that growth rate. And they are executing well just on a commercial basis day in and day out. And some of that obviously has been a function of the implementation of DBS on the cost side where we have been able to reallocate some of those funds into investments in sales and marketing as well as in R&D. Particularly in the third quarter, we made some significant investments in sales and marketing. And I think will pay off – that we will continue to pay off at Nobel with even improving growth rates.
Ross Muken: Great. And maybe just moving back to the capital allocation, you guys have obviously been quite busy and obviously since you have taken over, there has been a distinct bias towards growth, I guess what should we learn about your vision of what Danaher will be over the next 5 years or 10 years based on these assets, you have obviously gotten some real crown jewels within the tools, complex and Phenomenex and Pall and obviously in Cepheid you got a high growth potential, so how should we think about how you are sort of reshaping this portfolio and what the – I am not looking for quantitative, but maybe more qualitatively, how do you think about the evolution of these assets at this point?
Tom Joyce: Sure. Ross, we have gotten quite a bit done here in the last couple of years with the separation that took place with Fortive and getting Fortive off to a great start, but then making some very important and strategic acquisitions to shore up really what were three of the most important strategic needs or opportunities that we had. Nobel, on the implant and consumable side, as you mentioned Pall, to enhance our Life Sciences, specifically biopharmaceutical production position and then Cepheid, to improve our position relative to molecular diagnostics. We have had a focus strategically on the consumable side of Life Science and Phenomenex to use your term, a crown jewel in the consumable side of Life Science. So I think we feel very good about where we are right now. I wouldn’t trade our portfolio, the four segments that we have today of Diagnostics, Life Science, Dental and Environmental and Applied Solutions for any portfolio in the market. And I think the game plan in the years ahead, as it has been in the past, is continued to deploy our free cash flow strategically with a strong bias towards M&A into these highly attractive segments. And I think the game plan, at least in the near-term here, given the current position of the balance sheet and all that we have to do operationally with these acquisitions is to focus on probably small or midsize bolt-ons that are strategically important to our position, that hopefully will, as these have done, will be accretive to our growth rates and improve our growth trajectories. And hopefully, that would be the case certainly on the margin side, if not initially, certainly over time. So I think that’s the game going forward and it’s been the plan over the last couple of years.
Ross Muken: Great. Thank you.
Tom Joyce: Thank you, Ross.
Operator: And we will go next to the line of Doug Schenkel from Cowen.
Doug Schenkel: Great. Good morning. Thank you for taking the questions. My first question is on high growth market trends, in the third quarter, high growth market revenue growth was I think around, I think you said mid single-digits, as you described that there continue to be some headwinds relative to what we have seen at least compared to historical trends, recognizing a lot of this is out of control, I am just wondering if you would speak a little bit about the actions and investments you are taking to better position these markets for better growth in 2017?
Tom Joyce: Sure. Thanks for that question. I think we have – as we look at the high growth markets today, I am not sure we would necessarily say that there was much of a change recently in those markets, we have continued to see strength in China across a number of our businesses, if not all, business in China is up high single-digits. Real strength in Life Science, in Dental, in Diagnostics, some softness in the market and VideoJet, those are businesses where that softness largely comes from equipment than more industrially oriented end markets. And you have heard me mention a number of times, the strength that we have seen in India, which has been very consistent level strength over the last couple of years. And with those two markets being what they are, both the scale of those markets, the inherent growth rates in those markets and the strength of our positions, those are really where a great deal of our investments are going. We are largely doubling down in the markets where we have the greatest opportunities for growth in the near-term. We – what improvement we have seen and it’s been very modest in places like Latin America, Brazil specifically and Russia are really more about easier comps than materially improved market conditions. And the Middle East continues to be weak. And so while we have sustained our positions there in terms of our feet on the street and our investments in commercializing new products in those markets, those have not been markets where we are significantly accelerating our investments today. Instead, the biggest incremental investments are going into those markets where we are seeing continued strength.
Doug Schenkel: Great, that’s helpful and insightful. Thank you for that. My second question is on Diagnostic core margins, they improved 250 basis points year-over-year in the quarter. Yes, there was some nice improvement in the first half of about 210 basis points year-over-year. So, it’s got even better in Q3. Some of this maybe a function of comps, but to the extent it isn’t, could you provide a bit more detail on what’s really driving accelerating improvement and how we should think about sustainability?
Tom Joyce: Well, we are certainly seeing continued improvement in the margin performance at Beckman Diagnostics. Across our Diagnostics portfolio, you have Radiometer, Leica Biosystems, both businesses we have owned for a number of years and have made tremendous progress in enhancing their operating margins. Beckman, obviously a more recent acquisition, but still 5 years ago, we have seen great lift in those operating margins to this point. But as I mentioned, Beckman represents a large business. It still has quite a bit of headroom for margin improvement. And so we have seen at this point, but we think there is more runway ahead.
Doug Schenkel: So really – sorry...
Dan Comas: Yes, Doug, it’s Dan. We did benefit in Q3 with a slightly easier comp despite having said that, again, it was a very strong quarter of core margin expansion. What we are seeing is continued increase in the gross margin side, continued leverage on the G&A side while we are also stepping up R&D and sales and marketing. So, we are seeing the mix you would like to see from a margin perspective where we are getting the expansion, where we are taking part of that and putting that into more growth investments.
Doug Schenkel: That’s great. That’s kind of what I was getting at, is it a continuation of trend which has been good or things actually getting a little bit even better which it kind of sounds like they are. Last one, there is clearly been a lot of questions about what’s going on in different geographies and different end markets and you guys have been great at providing a lot of directional qualitative information to help us out there. I just figured I would ask in case you guys will be willing to whether or not you could just give us core revenue growth by end market and by developed geography in the quarter across all businesses?
Dan Comas: Well, we don’t give quite that level of detail, but we did talk about continued double-digit kind of mid-teens growth in India, high single-digit growth in China. Both the U.S. and Western Europe were up low single-digit. That’s been pretty consistent. I would add as a footnote probably seeing some incremental signs of weakness in Western Europe where our overall numbers in Q3 were pretty comparable to what we had in the first half. Tom alluded to the academic comment seeing a little bit of that industrial weakness in places like Hach, not a big change, but probably on the margin the tone is a little bit cautious in Western Europe. And Japan, we continue to be down low to mid single-digits.
Doug Schenkel: Okay, thank you again.
Tom Joyce: Thanks, Doug.
Operator: We will go next to the line of Derik de Bruin with Bank of America. Please go ahead.
Derik de Bruin: Hey, good morning. So, before I ask another geography question, I just wanted to ask a Diagnostics question. So, it’s been – you have closed the Cepheid or you haven’t closed it, but you have announced the Cepheid transaction, you have had a little bit more time to think about it. Any further additional thoughts on where you think you can ultimately get the gross margin on the Cepheid products? That was sort of a topic when we did the call the last time, I just wonder if you have any further thoughts on it?
Tom Joyce: Derik thanks. I don’t know that we have a lot more to offer. During due diligence, we were able to spend a good deal of time with the team and understand the roadmap that they have laid out for gross margin. You have heard a lot of that from the business in terms of the opportunities around improving the cost structure of the cartridge. We think those are – that’s very credible. We think they got solid roadmap for executing on those improvements. And obviously, once we have closed the transaction, we can engage directly with them, we will be bringing the tools of the Danaher Business System that we have used successfully in a number of other businesses to improve gross margins. You just heard Dan commented what we have done at Beckman and we will obviously bring that to bear at Cepheid and I think you will see those improvements come through.
Derik de Bruin: Great. And just one more Western Europe question, are you seeing – is it budget delays that you are seeing or people just canceling orders or people just hesitating on spending? Just a little bit more color on what’s going on in terms of specific trends, if there is anything you can sort of draw from what you are seeing across the businesses?
Tom Joyce: Derik, was that a Europe question, I am sorry?
Derik de Bruin: The Western Europe question, yes.
Tom Joyce: Yes. Much more in terms of delays, event cancellations, we tend to see both at the tendering level as well as at the purchase order level folks hanging back in certain cases, it’s because budgets haven’t been fully approved yet. In other cases, they are just trying to get paperwork through approvals. And normally, that’s a circumstance where because of some levels of austerity folks are just slowing things down.
Derik de Bruin: Great, thanks.
Operator: And our final question comes from Nigel Coe with Morgan Stanley.
Nigel Coe: Thanks, guys. Good morning.
Tom Joyce: Hi, Nigel.
Dan Comas: Hi, Nigel.
Nigel Coe: Yes. So, we covered a lot of ground, so I will keep this relatively quick. But I did want to come back to Dental there is obviously a lot of noise from some of the competitors regarding the U.S. channel. So, I am just wondering given the vocabulary we have seen, the large recovery we have seen core growth rates in dental, how confident are you – you can sustain this level of growth in the sort of the 3% plus bracket?
Tom Joyce: Well, clearly, there is some cause for concern or caution around that given some of the narrative that we heard from the channel during the course of the quarter. We saw some of that in the month of September come through in terms of the order rates on the consumable side. So, I think we feel pretty good about continuing to improve our own execution, particularly on the equipment side, also at Nobel. But I think on the consumables side, we will need to make sure that we are seeing some improvement in the sellout either from a programmatic perspective or just from an overall macroeconomic perspective.
Nigel Coe: Great, okay. And then Diagnostics, we don’t have a great history on the quarterly performance of Diagnostics, but it does feel like last year, we saw maybe an unusually large Q-over-Q step down in margins in 3Q followed by a pretty big pickup in 4Q. Would you expect to see a similar 4Q buildup out of 3Q? And then more broadly on 4Q restructuring across the portfolio, in the past, Danaher had the very heavy restructuring actions in 4Q, I know this year is not going to be anywhere like that, but maybe just comment on how you see 4Q restructuring actions across the portfolio?
Dan Comas: Yes, Nigel. On Diagnostics first, seasonally, Q3 tends to be a little lighter, so that play out again this year, there was big improvement versus Q3 a year ago and we do expect a nice, seasonal pickup in Q4, I would expect margins above where they were a year ago Q4, which was north of 18%. Regarding restructuring, we continue to take actions throughout the year. We don’t really kind of call those out. I would expect our overall restructuring spend to be in the same ballpark as last year, again probably a little bit more evenly distributed through the year.
Nigel Coe: Okay, guys. Thanks a lot.
Tom Joyce: Thanks, Nigel.
Operator: And at this time, we would like to thank everybody for their participation on today’s conference call. Please feel free to disconnect your line at anytime.